Operator: Welcome everyone to UMC's 2011 Q4 earnings conference call. (Operator Instructions) I would now like to introduce Mr. Bowen Huang, Head of Investor Relations at UMC. Mr. Huang, you may begin.
Bowen Huang: Thank you. And welcome to UMC's conference call for the fourth quarter of 2011. With me today is the CEO of UMC, Dr. Shih-Wei Sun; and the CFO, Mr. Chitung Liu. During this conference, we may make forward-looking statements based on management's current expectation and beliefs. These forward-looking statements are subject to a number of risks and uncertainties that could cause actual result to differ materially, including risk that may be beyond the company's control. For these risks, please refer to UMC's filing with the SEC in the U.S. and to the ROC Securities Authorities. I'd now like to introduce UMC's CFO, Mr. Chitung Liu, to explain UMC's Q4 2011 and full year 2011 business results.
Chitung Liu: Thank you, Bowen. For the fourth quarter of 2011, revenue was NT$24.43 billion, a 10.5% quarter-over-quarter decrease from NT$25.19 billion in third quarter 2011 and 22% year-over-year decrease from NT$31.32 billion in 4Q, 2010. Gross margin was 18.6%, operating margin was 6.4%, net income was NT$1.18 billion and earnings per ordinary share were NT$0.09. In 2011 revenue for the full year was NT$105.88 billion with NT$10.14 billion operating income, NT$10.81 billion net income and NT$0.86 earnings per share. Above is a short summary of UMC's results of Q4, 2011 and full year 2011. More details are available in the report, which has been posted on our website. I would now turn the call over to Dr. Sun.
Shih-Wei Sun: Thanks, Chitung. Good morning, good afternoon and good evening, ladies and gentlemen. In Q4, 2011, revenue was in line with UMC's guidance with 10% decrease in quarterly shipments, contributing to revenue decline. We shipped 915,000 8-inch equivalent wafers, with ASP increasing 5% in NT dollars. Overall utilization was 68%. Revenue from 40-nanometer exceeded 10% for December monthly sales, brining revenue contribution from this note to 8% for the fourth quarter. Since the first quarter of the year is traditionally slow, UMC's quarterly revenue will decrease slightly from the previous quarter. However, we expect to maintain operating profitability through continuous cost reduction and efficiency enhancement measures. During the slow period, our operating profitability has gained resilience and stability, as a result of successful efforts to improve operating structure and diversify risk. From a market standpoint, we have observed several signs that the industry cycle is reaching the bottom and believe that the multi-quarter inventory correction will end soon. However, due to several remaining uncertainties, recovery momentum will be determined by macroeconomic conditions and the strength of end demand. UMC is optimistic about the demand for advanced mobile communication and computing chips. To capitalize on this opportunity, we will expand our comprehensive 28-nanometer and 40-nanometer foundry solutions, cooperate with top-tier customers to gain more flagship products, and build sufficient capacity. Our 2012 CapEx budget of US$2 billion will help fulfill this commitment. However, we will not blindly add capacity. Instead, our investment plan is based on progressive stages of both advanced technology readiness and customer capacity requirements. Due to promising 28-nanometer engagements and strong demand, we believe UMC will be well rewarded when 28-nanometer mass production begins. As for 2.5D silicon interposer solution, we have successfully taped out 2.5D interposer for 28-nanometer and 40-nanometer customers. We have also developed an open platform with back-end OSAT partners to extend our foundry services. For 2012, UMC will put forth great effort to strengthen long-term partnerships with customers, provide competitive advanced technology and commit sufficient capacity to secure the next opportunity for growth. Now let me provide you with the guidance for the first quarter of 2012. Wafer shipments were increased marginally. Wafer ASP in US dollars were decrease approximately 5%. Operating margin will be in the low single-digit percentage range. Capacity utilization will be in the high 60% range. The consumer and the computer segments were outpaced our communication segment. 2012 CapEx budget is approximately US$ 2 billion. That concludes my comments. We are now ready for questions.
Operator: (Operator Instructions) You have a question from the line of Randy Abrams from Credit Suisse.
Randy Abrams - Credit Suisse: I wanted to ask a question on the CapEx, you noted in the afternoon that most of the CapEx was to convert capacity to 28-nanometer from ordered geometries. Could you talk about how much 28-nanometer business of capacity you can support with that investment?
Shih-Wei Sun: Let me try to make the correction, not most of all capacity are used for conversion. The new buys we are dominating is still the majority involved CapEx. But we allocate the certain percentage of the $2 billion for capacity upgrade. That's the first. Secondly, I mentioned that we will provide enough capacity, actually more capacity in supporting our 5% revenue targets towards the end of the year. So I cannot share with you the exact passing number at this moment.
Randy Abrams - Credit Suisse: And if you could talk about the capital intensity just to add wafer capacity, how it's changing from 40-nanometer to 28-nanometer. And if your expectation after this initial investment, if the cost may come down say for the next tranche of 28-nanometer capacity.
Shih-Wei Sun: So you mean that incremental increase are from 40-nanometer to 28-nanometere?
Randy Abrams - Credit Suisse: Yes, I guess the increase in capital intensity. Just taking the $2 billion in perspective of the 4% capacity growth, it seems like it's a lot more intensive. But I'm wondering if it's the first tranche as well and may come down with the additional tranches of capacity.
Chitung Liu: Actually this $2 billion capacity includes some big result capacity deploying in the judicious continues spectrum of average. That includes some continues deployment spilling over to 20, 30. So it's a continuous effort.
Randy Abrams - Credit Suisse: One question on the Japanese company seems to be going through restructuring and some consolidation of the logic operations, if you could talk about eager view of some of the outsourcing potential and if you are also seeing some pickup potential outsourcing from Japan that's actually going through some of the restructuring?
Shih-Wei Sun: Our experience from foundry perspective our Japanese customers are not a very aggressive user of the world leading-edge technology so far. So in the meantime this day, they have their own capacities. So they also are seeing relatively slower than the other regions like U.S. or even Taiwan customers. But things may change and I hope they can really be more aggressive using foundry processes especially the advanced domains.
Operator: Your next question comes from the line of Dan Heyler of Bank of America Merrill Lynch.
Dan Heyler - Bank of America Merrill Lynch: Just a few questions. First I wanted to ask you on the first quarter margins. It looks as though your utilization is picking up nicely in 8-inch. So that's pulling down your ASP I guess by about 5% after the increase in the fourth quarter of 4% to 5%. What are the implications from margins? Will you see margins pick up as a result of that or do margins stay flat at the gross margin level quarter-on-quarter?
Shih-Wei Sun: Our guidance for operating margin is low single-digits, which is not too different from that of Q4. And there are positive factors that you mentioned that loading is picking up. And also a negative factor as price declined due to mix change and also NT dollar exchange rate is moving in a favorable direction in Q1. So altogether, we expect to see operating profit margin to be similar to that of Q4.
Dan Heyler - Bank of America Merrill Lynch: Then with the depreciation side on cost of goods sold, are you seeing an increase in the first quarter there?
Shih-Wei Sun: First quarter will be rather similar to that of Q4. And, yes, we are looking for up to 10% increase in depreciation for the full-year 2012.
Dan Heyler - Bank of America Merrill Lynch: What was the full-year increase?
Shih-Wei Sun: Up to 10%.
Dan Heyler - Bank of America Merrill Lynch: And then, I just reviewing some of the comments in the afternoon on my notes. The contribution from 40-nanometer, you previously had expected that to be over 10% in the fourth quarter, but looks like it's coming in about 8%. What's the expectations for that to be in terms of contribution to revenue by the second quarter of this year?
Shih-Wei Sun: Actually, I said 10% towards the end of last year. We surpassed 10% in December. The whole quarter came up 8%. So I said in the afternoon for this year, towards the end of this year 40-nanometer target is 15% of our revenue.
Dan Heyler - Bank of America Merrill Lynch: And just tell me why that's so low, given that you're heading the inflection point, which should be about 10% of revenue. And you've indicated you have 65 customer tapeouts and you're sampling as well. So what are some of the factors? Why that isn't getting more widely adopted, since it is a very mature and widely adopted technology by the industry?
Shih-Wei Sun: So if you look at the 40-nanometer and 28-nanometer together, we are carefully managing the capacity deployment altogether. These technologies, the equipments that are mostly common and convertible. So at this moment, we would like to do as much 28-nanometer as we can. So together, because of the total capacity is planned together. So those are the total capacity that share between 50-nanometer and the 40-nanometer and 28-nanometer. We need to plan them together. So it's possible, we can do more 40-nanometer. However, 28-nanometer is our higher priority towards the second half of the year.
Dan Heyler - Bank of America Merrill Lynch: And so based on that scenario, what are you thinking in terms of the 28-nanometer contribution by 4Q? Are you thinking 5% or 10% range?
Shih-Wei Sun: We said in the afternoon, towards the end of the year, our target is 5%, 28-nanometer revenue share.
Dan Heyler - Bank of America Merrill Lynch: So in that 20% contribution is from 40 and below.
Shih-Wei Sun: Yes.
Dan Heyler - Bank of America Merrill Lynch: And then, let's say, I wanted to ask a little bit on the wireless side, if I may. You alluded to this transition between 2G and 3G is impacting your fourth quarter. Are you coming near the end of that and are you starting to see the 3G more than offset the weakness in 2G as of yet?
Shih-Wei Sun: Yes, it's happening. But I said also in the afternoon, we won't get completely out of it until the second half of the year.
Operator: Your next question comes from the line of Steven Pelayo of HSBC.
Steven Pelayo - HSBC: Could you just talk a little bit about your cash flow statement in 2012 here? Your cash flow was at relatively low levels versus history. You want to spend US$2 billion in CapEx. I assume you want to pay some dividend. So it seems like you'd run that cash level down pretty far. So could you talk a little bit about that? And what would be an uncomfortable level of cash for year and how you might deal with that?
Shih-Wei Sun: That gearing is relatively low. Right now it's probably mid-teens. And I think we are comfortable, if we want to gear up to actually say 30%. And I think that actually help our weighted average cost of capital, if we will. So I think for 2012 at least, debt financing should be sufficient for all the activity we have, either from our CapEx point of view or dividend payout point of view.
Steven Pelayo - HSBC: And so the current NT$30 billion in cash and equivalent, is that a low level for you or is this comfortable level to still run your business?
Shih-Wei Sun: It's just about right. And on top of that we actually are continuing divesting some of our material non-core holdings hopefully that can be a source of funding as well.
Steven Pelayo - HSBC: And then my last question is really just kind of a higher level question. It seems like your aggressive spending in CapEx is focused on 28-nanometer. Maybe a little bit of acceleration of your strategy, maybe to become a little bit of a faster or more fast follower than what we have been thinking maybe last year. Is that true, does this change your target business model? You know, we've heard from TSMC in the last couple of years, they've had to raise their R&D as a percentage of revenue with 7% to 8%, to 9% of revenue. So I'm curious, is there a change in strategy, what could it mean for your idea of business model from the margin perspective?
Shih-Wei Sun: No, we haven't changed our strategy. We continue to execute our customer-driven foundry solutions strategy. Provide a right technology at the right time for our addressable customers and markets. However, there are also shifts in the industry landscape for 40-nanometer and 28-nanometer is clear there. There are many new first-tier customers we are engaging now with flagship products. Also we believe 28-nanometer is long-lasting. So we would like to be a very aggressive in investing now. And the earlier we ramp these new notes the better for our overall technology portfolio and also the structural profitability. But from strategy point of view, there is no change. We must execute our customer-driven strategy well.
Steven Pelayo - HSBC: It definitely does seem that capital intensity and the R&D intensity is higher. So should we just assume that that final pricing will adjust accordingly for it and your margins will ultimately be the same or ultimately are you facing more margin headwinds from those potential increased costs?
Shih-Wei Sun: We will manage our R&D expenditures carefully. I think it's quite reasonable. I don't think there will be large deviation in the future. In terms of our structural profitability or margin-wise, actually for UMC, the sooner we ramp up these aggressive notes the better for UMC as a whole from both revenue and profitability point of view.
Operator: Your next question comes from the line of Szeho Ng of BNP.
Szeho Ng - BNP: Just want to know about the CapEx spending pattern of this year on a quarterly basis?
Shih-Wei Sun: It's quite even for four quarters according to the current planning.
Szeho Ng - BNP: And then the other one for Q1 actually, any I think one-off item, especially at a non-operating level?
Shih-Wei Sun: So non-operating, if you look Q4 numbers, we have some investment loss from our equity method of accounting investment mainly in the solar and also our Japanese foundry operation. And for the solar operation, we think the operating loss is coming down in Q1. But overall, still will be negative for their contribution. And we are also divesting some of our major investments in the other spaces many in the IT design industry. So hopefully, we can offset some of their losses with some of our solar investments, but should be anything as per ordinary in Q1.
Szeho Ng - BNP: And a last question from my side, could we talk about the technology roadmap after 28-nanometer?
Shih-Wei Sun: We are also engaging a lift to first-tier customers working on the 28-nanometer. Although, it was only 20-nanometer taken up to with second-generation High-K/Metal-Gate technology, actually, it's not only K last, but also High-K last. So 20-nanometer today, at this moment we are targeting pilot production next year.
Szeho Ng - BNP: Pilot production next year?
Shih-Wei Sun: Yes. 20-nanometer using the double patterning technology.
Szeho Ng - BNP: So actually that should be end of next year, right?
Shih-Wei Sun: There are two customers, slightly different. One is middle and one is second half next year.
Operator: Your next question comes from the line of Pon Lu Lu of Goldman Sachs.
Pon Lu Lu - Goldman Sachs: I had a few questions. First is on your cash dividend policy. Given the high CapEx, what would you change the cash dividend payout ratio in 2012?
Chitung Liu: 2012, we do have to make a choice of balancing our higher CapEx as well as the dividend payout. And this is actually up to our Board, to find out besides the numbers, but we are comfortable to commit at least of 50% payout.
Pon Lu Lu - Goldman Sachs: 50% payout ratio?
Chitung Liu: Partly, yes.
Pon Lu Lu - Goldman Sachs: And my second question is you just commented that the depreciation should increase 10% in 2012? Over 10%?
Chitung Liu: Not more than 10%.
Pon Lu Lu - Goldman Sachs: I mean, your CapEx is quite high in 2010, 2011, 2012. What's the depreciation period now? Is that still five years for equipments?
Chitung Liu: For our five-year revision, no change. I guess, the difference is really coming from our Singapore facility, which was mainly invested five to six years ago, and their depreciation pretty much come to the end. That helped offset some of the incremental increase. For 2013 and 2014, I think the increase ratio probably will be higher than 10%. But we don't have the exact numbers for now. We will disclose that maybe a year later. But for the time being, not more than 10% is the figure for 2012.
Pon Lu Lu - Goldman Sachs: And also looking at the ROE over the last few years, in last five to 10 years, it has been around 5%. Are we seeing improved ROE now with 65-nanometer and 40-nanometer? I am trying to gauge like, with increased CapEx our shareholders eventually will get more cash dividend or more return, or if it's still 5% ROE, it seems like the more you spend probably not going to be very beneficial?
Shih-Wei Sun: I think ROE is still our final go to improve the return to a stockholder's value. And the reason we are aware of it become more aggressive in events, the technology, the reason is for the new technology in the beginning the price erosion for the new technology is actually quite aggressive, quite fast. And if you'll see at this moment, we get a great opportunity on the 28-nanometer and some 40-nanometer technology. If we engage early and get a technology early, we enjoy much better return. And also the industry landscape is shifting and we are at a great position to offer this value, at the same time we're expecting good return. Also we believe, as we get a technology ready earlier, the blended ASP and structure of profitability will improve. Chitung, do you have anything to add?
Chitung Liu: In the meantime, as I mentioned, we are gearing up a little bit and try to payout more cash dividend and investing in our non-core assets altogether hopefully can improve, with weighted average cost of capital as well. So certainly it goes both ways.
Pon Lu Lu - Goldman Sachs: My last question is Dr. Sun, you just commented that the 28-nanometer is probably a more long-lasting node. Can you just elaborate on the reason why you think that's the case?
Chitung Liu: If you look at the next node, 20-nanometer, it requires double-patterning. I gave an example in the afternoon meeting, for each metal patterning you need to go through very expensive immersion lithography four times. And that's very, very expensive. So technology-wise I think as I mentioned already, we are working with two leading customers. Also economically it will be very, very expensive. Not all the customers and not all the products would go there. In the meantime, 20-nanometer the two set that you said are somewhat consistent with the 40-nanometer, part of there are few key technologies you need to establish. So I think that overall speaking based on our recent dialogue with customers. 20-nanometer we think will be a big long-lasting node in the industry.
Operator: Your next question comes from the line of Satya Kumar of Credit Suisse.
Satya Kumar - Credit Suisse: Just wanted to clarify a comment that you made earlier about the linearity of the CapEx. You said it will be fairly even through the year. Is that based on the cash CapEx that you spend or is that based on the when you actually take the equipment shipments. Are the equipments shipments are first half rated or second half rated or are the equipment shipment also linear through the year?
Shih-Wei Sun: All the CapEx number we disclosed is cash based including the evenly distributed among the four quarters.
Satya Kumar - Credit Suisse: Could you comment if the actual equipment shipments will be first half rated or is that more linear also?
Chitung Liu: That's actually difficult to comment. It varies equipment-by-equipment.
Satya Kumar - Credit Suisse: I think there has been a lot of discussion here about the cost of the capacity. I was wondering if you are able to quantify that a little bit, if you were to look at the cost of adding capacity for thousand wafers of new 300-millimeter capacity. How is that cost tracking your view from 40-nanometer to 28-nanometer to 22-nanometer?
Shih-Wei Sun: I can give you some really relative comparison. If we're comparing 28-nanometer High-K/Metal-Gate, it's about 40% more than the 40-nanometer. And if you go to 20-nanometer because of the double-patterning I mentioned earlier, it will be maybe even out to 50% more from 28-nanometer to 20-nanometer.
Satya Kumar - Credit Suisse: And then lastly you mentioned that a portion of the CapEx is actually upgrades and the portion as new capacity. Could you quantify that a little bit? And are you converting older capacities, 65-nanometer or 90-nanometer capacity to 20-nanometer, 28-nanometer? What is that update for?
Chitung Liu: We're out doing that everyday, converting capacity from the (logic) node to the more advanced node. It's a constant effort. For example, we converted 90-nanometer to 65-nanometer and this year we may convert some from 65-nanometer to 40-nanometer or 28-nanometer. But it's a competitive issue.
Satya Kumar - Credit Suisse: And what part of your budget is for such upgrades versus the new capacity?
Shih-Wei Sun: Mostly for the new capacity, but there a significant percentage will be used for conversion.
Operator: (Operator Instructions) You have a question from the line of Dan Heyler of Bank of America Merrill Lynch.
Dan Heyler - Bank of America Merrill Lynch: I had a follow up for Dr. Sun, could you elaborate on the current pricing environment relative to previous cycles, better, worse or the same?
Shih-Wei Sun: I think it's not bad at all. I mentioned in the afternoon, our pricing if you compare quarter-to-quarter the price erosion portion are pretty much are consistent. Even this is Q1, usually in the past, price erosion in Q1 is a more serious, but even comparing with our last quarter, the pure price erosion is pretty similar. And many of them for the blended ASPs are from the mix. So it's a pretty good.
Dan Heyler - Bank of America Merrill Lynch: I heard that many fab-less companies complaining about pricing. They want better pricing. I don't wondered if there was any but obvious of a change?
Shih-Wei Sun: Well, we would try to satisfy their requirements, the best we can.
Dan Heyler - Bank of America Merrill Lynch: And then on the mix side. There it seems to be lot and I know that the upgrading process is very common in the foundry business. But I'm wondering if this could be a meaningful ASP list for the year overall. Because there is quite a bit, I think of 65 capacity in the UMC and if that moves to 40-nanometer in to 28-nanometer. I'm wondering, if you're going to see a nice ASP lift on that basis?
Shih-Wei Sun: I am not sure I understand this, so you convert a 65-nanometer to 40-nanometer, you will enjoy a better ASP, right?
Dan Heyler - Bank of America Merrill Lynch: If pricing is relatively stable, could we see a blended ASP rise this year in the second and third quarter?
Shih-Wei Sun: We don't have the number. That's actually one of the reason we are doing that.
Dan Heyler - Bank of America Merrill Lynch: And then on the High-K/Metal-Gate, I am wondering what the status there was, you're pretty much on schedule with the 28-nanometer Poly/SiON gate. I am just wondering, would you start to ship High-K/Metal-Gate by 4Q? There seems to be a lot of issues with that. So if you could update that will be great?
Shih-Wei Sun: Yes, we are still working very hard on the High-K/Metal-Gate, the 28HPM process with many customers mobile communication, computing, networking, re-channel, many, many customers. So today we are scheduled to go to risk production in the second half of this year and going to production next year. That's the current kind of schedule, yes. Certainly, we are also working hard on the similar challenge, which is the reliability boundaries for the technology, which everybody is facing the similar challenge in the industry.
Dan Heyler - Bank of America Merrill Lynch: And I was wondering, just to hit your 5% forecast, roughly your target, I should say. Could you achieve that on without High-K/Metal-Gate or do you need to see that really improved in order to get 28-nanometer to ramp in second half?
Shih-Wei Sun: No, the 5% target they are mostly Poly/SiON.
Dan Heyler - Bank of America Merrill Lynch: And then the 2013 adoption rate, I guess which you're saying is, did we hit an inflection point for adoption on the High-K/Metal-Gate, I mean how important is that to your customers? And if you're able to figure that out sooner rather than later, does that represent a major kind of inflection point for adoption or not?
Shih-Wei Sun: Actually it's an interesting question. The High-K/Metal-Gate at 28-nannometer is the volume and the ratio versus Poly/SiON. It is changing actually. In the beginning most of the efforts are focusing on the High-K/Metal-Gate. But in the last few quarters or months it's actually changing. So we are adjusting the customer requirement accordingly. So at this moment I cannot make much projection for next year's High-K versus Poly/SiON kind of ratio.
Dan Heyler - Bank of America Merrill Lynch: So that could be that they're getting better economics than they thought on the poly/SiON gate than previously thought, hence they're willing to adopt 28-nanometer on the basis Poly/SiON?
Shih-Wei Sun: That's possibly one of the reasons. Yes, I agree with you.
Operator: Your next question comes from the line of Steven Pelayo of HSBC.
Steven Pelayo - HSBC: Yes, just two quick follow ups. You guys have done an admirable job over the last few years diversifying your customer base. But I think a couple of your still top three or four customers in kind of the PLD world as well as traditional 2G baseband customer, there are some questions about they're either shifting to different suppliers or having their own competitive issues going on. Do you worry about this? Do you have enough new business going under more than offset, potential, you have fall-offs from customers that have been as much as in 10% of revenue for you? Is this something I should be thinking about here?
Shih-Wei Sun: And that's exactly we mentioned, the industry have a landscape shift. So we have been working hard. So we will pretty much coming through this transition in the second half of this year, engaging many new customers, starting to have a new for the40-nanometer 28-nanometer business with the first-tier customers with our flagship products. That's exactly what we have been doing in the past few years.
Steven Pelayo - HSBC: That kind of base my next question which is, I'm just curious in the last one to two quarters maybe three quarters or so, has the competitive landscape in the foundry world changed at all? That's maybe helping to drive more customers to engage you more first-tier customers. And let's face it, SMIC is struggling with profitability. There's been concerns about GlobalFoundries that maybe yield issues. Is that also a part of the reason why, maybe you're seeing some more customer engagements?
Shih-Wei Sun: That's possibly one of the reason we've had more engagement. But I think if you go back to our strategy of providing customer-driven foundries solutions and we are in a low profile trying to deliver what we committed to do very honestly and steadily. I guess we earn some of the respect from the new customers. And I think, certainly in that industry we'll have changes and competition landscape will be changing. I think we are focusing on our own fundamental basics, delivering customers a good value. So we'll continue to do that.
Steven Pelayo - HSBC: And last question is just a little bit details on the communications segment of revenues. Breaking it out kind of wireless versus wired. Obviously up in the fourth quarter, but down in third quarter. Could you provide a little detail on what the shifts are going on wired versus wireless?
Shih-Wei Sun: Around three to one; wireless three, wireline one. Three to one.
Steven Pelayo - HSBC: And both in the same sync. So they both go down, they both go up the same in fourth quarter, first quarter?
Shih-Wei Sun: I guess similar, maybe in the fourth quarter wireless is stronger. But really this is probably three-to-one I guess.
Steven Pelayo - HSBC: So the fall-offs in communications in Q1 is still being seen by both wired and wireless?
Shih-Wei Sun: Because I mentioned in the afternoon, in Q4 there was lots of rush orders on the wireless side, so maybe Q1 just going back to the more normal situation I guess.
Operator: And there are no audio questions at this time. I would like to turn the call over to management for any closing remarks.
Bowen Huang: Thank you, again, for your interest in UMC. Please feel free to contact us directly, if you have additional questions.